Operator: Good day, and thank you for standing by. Welcome to the Tele2 Q4 and Full Year Report 2025 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jean-Marc Harion, President and Group CEO. Please go ahead.
Jean-Marc Harion: Thank you, Sandra, and good morning to all, and welcome to Tele2's report call for the fourth quarter and full year 2025. With me, I have Peter Landgren, our Group CFO; Nicholas Hogberg, our new Chief B2C Officer and Deputy CEO; and Stefan Trampus, our Chief B2B Officer. Please turn to Slide 2 for some operational highlights from the fourth quarter. We had quite an intense last quarter of the year. We successfully secured and expanded our 1,800 megahertz spectrum position during the Swedish spectrum auction in November. In early December, we shut down both our 2G and 3G networks in Sweden, marking a milestone in our company history. Combined, these achievements will support our efforts to further improve our 5G network which already covers 99% of the population and was recently recognized by OpenSignal as the fastest 5G network in Sweden. We have delivered on our ambitious transformation and cost reduction targets, including for the reduction of our workforce. At the end of the year, we had canceled around 650 position at group level. We have so far as well addressed and renegotiated close to 350 supplier contracts, and this will continue during 2026. Moreover our tireless work on sustainability continues. And during the quarter, we were ranked #1 in Europe and second globally by Global Child Forum for our work on integrating child rights into the business. We were also recognized by CDP with an A score for climate change efforts for the fourth consecutive year. Please move to Page 3 for financial highlights. Our deep transformation executed in record time has borne fruit and translated into not only a spectacular improvement of Tele2 profitability, but also into an accelerated growth of our top line. Our end-user service revenue growth has progressively improved throughout the year to reach a good 4% in Q4. Once again, underlying EBITDAaL grew strongly with 13% in Q4, marking the third consecutive quarter of double-digit growth. On a full year basis, we exceeded most of our 2025 guidance KPIs. Tele2 full year equity free cash flow grew by a massive 42%, leaving our balance sheet very healthy. This was mainly driven by our operating cash flow plus working capital, which we have improved by 1/3 compared to 2024. Consequently, our Board of Directors proposes a dividend of SEK 10.50 per share, an increase of 65% from last year and to be paid in 2 tranches in May and October. We have also updated our financial policy and set guidance for 2026, which will soon be discussed. Please move to Page 4 for more details on our results. Our 4% end user service revenue growth in Q4 has been driven across all our operations and core services. In addition to continued strong performance by Sweden business and the Baltics, especially positive this time is the return to growth in Sweden Consumer. The 13% growth in underlying EBITDAaL was driven by both transformation and revenue growth. Our Q4 equity free cash flow was impacted by a spectrum payment, which offset higher underlying EBITDAaL. Full year, Tele2 delivered SEK 6.2 billion equity free cash flow. CapEx to sales picked up seasonally in Q4, but remained at low levels, around 11%, both in Q4 and for the full year. In Sweden Consumer, end user service revenue grew by 2% as growth in core services exceeded declines in Boxer TV and legacy services. In Sweden business, end user service revenue growth accelerated further to 7%, thanks to good growth in mobile, including IoT and solutions. The Baltic grew end-user service revenue by 6% and underlying EBITDAaL by 16%. But let's move to Slide 6 for more details on Swedish Consumer. As mentioned in my CEO later, we have successfully leveraged our strengthened brand and new offers to drive significant traffic to our own channel, which now contribute to 2/3 of our sales. Our continued investment in stores and online capability have started paying off, and we are confident in the efficiency of our commercial model. Mobile postpaid end-user service revenue grew by 5%, up from 4% in Q3. Total mobile revenue grew by 4%, partly offset by continued decline in prepaid. Fixed broadband grew end-user service revenue by 2%, mainly due to ASPU growth. Digital TV showed strong sequential improvement driven by healthy mid-single-digit growth in Tele2 TV, end-user service revenue growth, which now offset the continued, albeit smaller drag from Boxer TV. Following up on Boxer TV, the full year ended very close to our communicated estimate of around SEK 225 million revenue decline compared to 2024. Total consumer end-user service revenue grew by 3% in the quarter, excluding the Boxer impact. Let's look at consumer KPIs on Slide 7. Mobile postpaid added a solid 16,000 RGUs in Q4, net of 14,000 one-off contribution relating to recognition of previously uncounted low ASPU RGUs. Mobile ASPU growth improved to 3% year-on-year, which is -- while it was still negatively impacted by IFRS 15 fair value adjustment in Tele2 customer base, Q4 also included a positive one-off. Adjusted for both underlying ASPU growth was still 3%. Fixed broadband RGUs remained unchanged in Q4, whereas ASPU grew by 1%. Just like in previous quarter, we observed aggressive competition and escalating wholesale access fees, which hampered volume growth. TV returned to positive net intake with 3,000 RGUs added in Q4 as growth in Tele2 exceeded continued decline in Boxer. ASPU grew by 4% year-on-year, supported by more sports revenue. Please move to Slide 8 for Sweden business. Sweden business continued to deliver strong end-user service revenue growth, this time reaching 7% driven by growth across operations. Mobile grew by 7%, driven by our IoT business, including some temporary project revenue of around SEK 15 million in the quarter. Mobile RGUs remained stable in Q4, while up by a solid 4% year-on-year, ASPU continued to be impacted by change in customer mix. Solutions grew by a strong 10%, driven by finalization of larger network and cloud modernization projects. Please move to Slide 9 for Sweden financials. In total, Sweden end-user service revenue accelerated to 3% growth in Q4, driven by both business and consumer. Underlying EBITDAaL grew by 12%, driven by the end-user service revenue, workforce reduction, stricter prioritization and cost control. The cash conversion has improved to 69% over the last 12 months. Let's move to Baltic financials on Slide 11. Baltics have maintained operational momentum with continued strong top and bottom line growth in Q4. Total end-user service revenue grew at 6%, supported by price adjustment during first half year. Q4 was the fourth consecutive quarter in which all markets delivered double-digit growth in underlying EBITDAaL, delivering a total growth of 16%, led by Estonia at 41%. Cash conversion increased to a strong 81% during the last 12 months, reflecting increasing EBITDAaL margin. Let's move to Slide 12 for Baltic operating KPIs. The total postpaid base in the Baltics increased by 23,000 RGUs in Q4, driven by Latvia and Lithuania. Prepaid declined by 68,000 RGUs, largely due to regulation and migration to postpaid. Blended organic ASPU grew by a strong 11%, driven by price adjustment and continued prepaid to postpaid migration. With that, I hand over to Peter, who will go through the financial overview.
Peter Landgren: Thank you, Jean-Marc, and good morning, everyone. Please turn to Page 14. First, a couple of comments on the group P&L for the quarter. Total revenue grew by 4% organically, driven by service revenue growth of 4% with contribution from all operations and equipment revenue growth of 7%. Both underlying EBITDA and underlying EBITDA after lease grew by 13% organically, thanks to sharp cost control across the group, and the service revenue contribution. Then over to the full year P&L. Both underlying EBITDA and underlying EBITDA after lease grew by 11% organically. The group reached a full year underlying EBITDAaL margin above 39%, which implies an increase of 3.4 percentage points compared to 2024. Items affecting comparability ended at SEK 600 million, of which SEK 500 million were restructuring costs related to the transformation, fully in line with our expectations. Net financial items decreased year-on-year, thanks to both lower interest rates and reduced debt levels. By the year-end, our average interest rate was 2.8%, with a debt mix of 68% fixed rates and 32% floating rates. And income tax finally, sorry, increased year-on-year due to higher taxable profits. And let's move to the cash flow on Slide 15. In Q4, equity free cash flow of SEK 777 million was generated, broadly in line with last year. The final payment of the Swedish spectrum secured in 2023 was absorbed by strong growth in underlying EBITDAaL and lower CapEx. But let's focus a bit more on the strong full year cash flow. CapEx paid, excluding spectrum, decreased by around SEK 630 million. This was mainly thanks to successful prioritization and partly due to some investments being postponed to 2026. Changes in working capital contributed almost SEK 300 million to the cash flow, supported by optimized inventory levels, but also increased redundancy provisions. Taxes paid decreased by around SEK 155 million, thanks to a tax refund earlier in the year. Net-net, full year equity free cash flow reached SEK 6.2 billion, which means a 42% growth compared to last year. This translates to almost SEK 9 per share. Please turn to Slide 16 and our capital structure. By year-end, economic net debt amounted to SEK 24.3 billion, a reduction of SEK 1.9 billion compared to 2024. This was enabled by the cash generated in the business, exceeding the dividend distribution. Today, we also announced that the Board has updated the financial policy. With this policy, the aim is to provide attractive shareholder remuneration, while preserving a strong balance sheet and financial flexibility. The proposed dividend demonstrates a sizable distribution, while our leverage of 2.1x underlying EBITDAaL after lease will comfortably stay within the desired investment-grade range. And with that, I hand over to Jean-Marc for a follow-up on our 2025 guidance and then some comments on our 2026 guidance.
Jean-Marc Harion: Thank you, Peter. Please turn to Slide 17 for some comments regarding our performance relative to our 2025 guidance. Overall, we delivered clearly ahead of our initial full year 2025 guidance. While end-user service revenue growth was in line with guidance, as you probably remember, in Q2, we raised guidance on underlying EBITDAaL from initially mid- to high single-digit growth to slightly above 10%. We can now conclude that we even exceeded that target by the massive full year growth of 11.4%. In Q3, we also reduced our CapEx guidance from around 13% to around 12%. We ended the year at 10.8% due to the successful prioritization and the deferral of some planned investment to 2026. Please turn to Slide 18 for our 2026 guidance. As we leave 2025 behind and look ahead, our strong performance during last year has obviously raised the bar and established a new reference point for Tele2 profitability. Our ambition for 2026 is to consolidate the transformation of the company, continue improving our profitability and secure our revenue growth despite the uncertainties of the geopolitical landscape. We have, therefore, decided on the following full year guidance for 2026, low single-digit organic growth of end-user service revenue, low to mid-single-digit organic growth of underlying EBITDAaL, CapEx to sales in the range of 10% to 11%. It is important to note that the organic growth rate for underlying EBITDAaL excludes the impact of the Baltic Tower transaction that we expect to close in Q1. I hand back to Peter for some additional comments regarding 2026 before we open up for Q&A.
Peter Landgren: Thanks. I would like to start with then a reminder about the Baltic Tower transaction, which is still expected to be finalized in Q1. Upon closing, we expect cash proceeds of around EUR 430 million after transaction costs. And as previously stated, the transaction is expected to have a negative impact on underlying EBITDAaL of around EUR 35 million on a full year basis. Finally, the CapEx avoidance is limited to passive equipment, and that's already reflected in our 10% to 11% CapEx to sales guidance for the group. And then a few additional comments on the cash flow for the full year 2026. In Q1, we'll pay SEK 117 million for the Swedish 1,800 megahertz spectrum secured in November 2025. The other half will be paid later in 2028. Also worth mentioning that there might be spectrum auctions in the Baltics during 2026. On financial items, excluding leasing, we estimate full year net payments of around SEK 650 million. Finally, on taxes, we estimate full year payments of around SEK 1.4 billion. With that, I hand over to the operator for Q&A.
Operator: [Operator Instructions] We will now take the first question coming from the line of Andrew Lee from Goldman Sachs.
Andrew Lee: I had 2 questions, both -- or one around the growth guidance or one around capital allocation. So just on the growth guidance, could you just talk through the scenarios you see that would support a low single-digit EBITDA growth guide for 2026. Obviously, Q1 has pretty easy comps. And that means that your low single-digit growth guidance would imply basically no EBITDA growth, I think, for the remainder of the year. Are you missing something in terms of what's happening in the cost base? Or something else that didn't really transpire in 4Q? Any help there would be really useful. And then secondly, just on the capital allocation. The SEK 10.5 dividend is obviously a meaningful increase. You haven't split it by extraordinary and ordinary dividends. Should we see that SEK 10.5 DPS as a floor now for shareholder returns going forward, given I think that leaves you below or notably below 2x net debt to EBITDA by the end of the year?
Jean-Marc Harion: Yes, Peter will take the 2 questions. Yes.
Peter Landgren: Okay. If we start with the second question around the floor, it's correct that the dividend, there is no distinguished between ordinary or extraordinary dividend. That's a conscious decision. And I think we're pleased that we are able to distribute such a sizable dividend, thanks both to the strong cash generation in 2025 and also the strong balance sheet that we have. Looking forward, we're not communicating in the sense of that this is the floor. We have 2 things that enables dividends going forward, and that's obviously the continuation of cash generation. And secondly, we still have a very healthy balance sheet to enable us to have attractive shareholder remuneration also going forward. But I wouldn't see this as a floor. That's not what we're communicating today. We're communicating a sizable dividend of 118% of equity free cash flow, and we communicate a policy, which enables both a solid rating and good distributions going forward, but not more than that.
Jean-Marc Harion: Regarding the growth guidance, I would say that when you look around, it's -- of course, it's important to remain cautious about the commitment we take to our investors. That's -- as a reminder, and we insisted on that point, we have raised the bar for profitability. So the starting point is much higher this time. So we continue -- we will continue improving the EBITDAaL and the EBITDAaL margin over the time, thanks to the continuation of the cost discipline and the strict prioritization that we have implemented in 2025. This will not change. But in the meantime, we are observing how the market will evolve and the possible impact on the customer behaviors. So we have made the company today much leaner and much more agile than it was 1 year ago. So the adaptation, the capacity of Tele2 to adapt to any circumstances to deliver anyhow or targets for margin and cash will not be impacted by or cannot be impacted by the evolution of the landscape. So that's why we remain a little bit careful when looking forward in 2026, and we will see how the situation develops.
Andrew Lee: Just a quick follow-up. Just -- so am I to interpret Jean-Marc, your comments as in you've built in kind of uncertainty around the kind of the macro environment to that EBITDA growth guide rather than implicitly reflecting an increase in costs, marketing costs, which went up at 1 point during 2025 or some incremental costs around stepping away from third-party retailers or something that...
Jean-Marc Harion: No, no. If this was the reason for you to ask the question, no, it's not the case. So we remain quite scarce in terms of all kind of expenses, including marketing expenses. We, of course, keep our ambition and confirm our ambition to develop our own channels and reduce progressively the dependency on the third-party channels because of the behaviors and the quality of the sales that we generate through these third-party channels. But definitely, the reason for us to come with this guidance is, of course, the observation of the context. We will secure the cost base of Tele2 as a continuation of the discipline that we have implemented in '25. Of course, we see the top line continue growing, but depending on the evolution of the context, we may need to adapt. That's the only rationale. But definitely, no increase, no major change in the cost base if this was your question.
Operator: We will now take the next question from the line of Ondrej Cabejšek from UBS.
Ondrej Cabejšek: I've got 2 questions as well. One is on CapEx. So Peter, you said that some CapEx is spilling over into 2026 from 2025, but the 2026 CapEx guidance is already, I would think, a positive surprise. So my question would be, does that signal to us that Tele2 can be quite firmly at around 10% CapEx to sales from 2027 onwards? That's the first question. And then the second question would be maybe asking a different way about the dividend. So in terms of the leverage policy that is now just to remain investment grade. So I was thinking, first of all, is there a soft steady-state target around, say, 2x that you wish to be on? And then implicitly also, what is the -- or in addition, what is the limit under the new definition of remaining investment grade, taking into consideration the impact from the Tower deal? Like what is the headroom basically for you to remain investment grade? What is the maximum ratio is the question?
Peter Landgren: Okay. Ondrej, thanks for the questions. If we're starting with the CapEx guidance, good that you're positively surprised. That's always nice. 10% to 11% is what we call out now. We know that we have things moving in different directions in one way we -- one movement is, of course, that the rollout in Net4Mobility is slowing down, which is helping our CapEx ratio. On the other hand, we have other investments that we need to take care of, for instance, making sure that we have the rollout complete in the Baltics, and we landed on the 10% to 11% is a reasonable range from that perspective. What that means for 2027 is nothing we announced today, but we think that this level, which we talk about now is quite representative to where Tele2 stands today. When it comes to the dividend or the financial policy and the range, it's true that, as you call out, that the Tower transaction will have implications on how we look at leverage going forward in 2 ways. One is the obvious one that the leverages will else equal decline by the Tower transaction. So we'll see lower leverage once that's concluded. On the other hand, as you point out, the acceptance from the rating firms will also be reduced due to commitments we have in the new tower arrangement. And I would say right now, I think that the route for leverage after the Tower transaction will probably be somewhere between 2.6 and 2.7. That might evolve over time, but to give some kind of engagement right now, how we look at the limit for where we can be in the new environment. Hopefully, that's covering your question.
Ondrej Cabejšek: It does. If I may, one quick follow-up. Regardless of what the dividend will be next time around, if it's SEK 10.5 or there's a bit of a reset. Is there an ambition that you can kind of share -- and I know this is the Board, et cetera, but is there an ambition to have maybe like a mid-single-digit growth in the dividend, just like many of your peers do as an example?
Peter Landgren: No, the ambition is to have attractive shareholder remuneration and stick to this policy. In the end, as you point out, it's ultimately the Board that decides what is the right level every year. I think our focus here is to generate as much cash as possible because that's fundamentally what enables dividend going forward, but nothing more than that for now.
Operator: We will now take the next question from the line of Owen McGiveron from Bank of America.
Owen McGiveron: It's Owen McGiveron at Bank of America here. So mentions of releveraging and distributing and share buybacks have been emitted from the new financial policy. My question is if these remain in your toolkit? Or should we now expect capital return announcements to be a once-a-year kind of event at full year?
Peter Landgren: Thanks for the question. I think for now, the route is, as you also see from the announcement today, is dividends, and that's what you can expect for now going forward. We're not ruling out share buybacks at some point. But right now, that's not what we see coming. And on the announcement, I think we -- of course, you can expect dividend announcements along with the Q4 report every year going forward as well. If there will be something in between at some point, it's a bit speculative and might happen, but nothing will -- we'll not rule it out, but we don't have a firm decision on when to announce dividends. For now, this is a dividend we call out now in Q4 to be fair.
Operator: We will now take the next question from the line of Andreas Joelsson from DNB Carnegie.
Andreas Joelsson: I had a question on the KPIs actually. Looking at Sweden and your growth initiatives that you have for 2026, we can see that mobile ARPU is trending quite positively, while ARPU within broadband is at a somewhat slower pace. So it would be interesting to hear your plans to continue growing ARPU in both areas in Sweden going forward?
Jean-Marc Harion: Nicholas is going to answer your question.
Nicholas Hogberg: Thank you for your question, Andreas. Well, so I think we are ready to capture both long-term and short-term growth. And especially during 2026, we will unleash the potential on our existing customer base and increase the value of the base through cross-sell and upsell, which will be prioritized. And we will do that through many initiatives, working with customer intelligence as the main driver, and we will make sure that we maximize our customer interactions and sales through own channels as said before. And we now have our own -- sales through our own channels is now representing approximately 2/3 of the total sales, which is important going forward to establish a strong relationship with our customers. So we will optimize that through sophisticated data analysis and AI tools, and that's an ongoing work to be able to maximize cross-sell and upsell. So also with that said and what Jean-Marc said earlier, we are now increasing our physical footprint and opening up new stores, also in areas where we have historically been underrepresented. So this will help us. We now have the fastest 5G network covering 99% of the population. So given that, that gives an excellent customer experience, it allows us to break new ground and develop our market share in areas where we historically haven't had a very strong market share. So I think we see a potential of growing during 2026 in our customer base. When it comes to broadband, we have our network, and we're focusing on delivering excellent mobile broadband to our customers, but also we're happy to having our own network, broadband network, and we are now strengthening our coax network, and we are going to launch 2,500 megabit per second service to our customers to increase our strength in that area.
Andreas Joelsson: Perfect. And just one follow-up on the dividend. Would you be happy to continue to pay out more than 100% of equity free cash flow for the dividend if needed, so to say?
Peter Landgren: Yes. I think there's nothing in the policy that stops us from doing that. And as you can see as a demonstration on that today, the proposal is 118% of equity free cash flow. So that might -- it's a bit speculative, but that might, of course, happen depending on the context and the financial outlook and our abilities. The limit is -- what's committed is at least 80% of equity free cash flow as ordinary dividend. That's what we keep stating.
Operator: We will now take the next question from the line of Fredrik Lithell from Handelsbanken.
Fredrik Lithell: I'm going to stay with one question. And maybe Stefan, if you could put some color on how you see the business-to-business market developing? What you see in front of you? And if you can sort of split that up in discussions around sort of the large enterprises, the public sectors and the small company segments and how they develop would be interesting.
Stefan Trampus: Thank you, Fredrik. Well, if we start with the different segments then on the micro SME segment, I mean 2025 was a challenging year in terms of bankruptcies. It's the highest level in many, many years. At the end of the year, we saw a slowdown of the bankruptcies, which, of course, also is seen in our customer base. So it has been stabilizing in the smaller segments. I think the demand is still there from SMEs. And if you look at on a year-on-year growth. I mean, we had good growth and demand in SMEs and the public sector. If we talk about the larger segments, I would say that the public sector must have been a little bit squeezed from a budget perspective coming into the end of the year, it has been visible in some of our product lines. And in the larger segment, I would say that the larger customers have been a bit cautious. I mean, of course, it's not the same thing for all customers, but I would say that we have seen some cautiousness in investments from larger segments. So that is how we see the development of the different segments. And of course, going into 2026, we hope for a better macro, better demand in general. I mean, we've been hoping that the macro will turn for many times now. But let's see how it develops. Of course, it will help us. From a competitive situation, I would say that we've seen high competition aggressiveness in the micro and SME segments, especially from Telia and Telenor, where they have, I think been very high on commissions to external partners and also on below-the-line pricing. So that's what we've seen. But on the larger segments, we've also seen that both Telenor and Telia have been keen on keeping their customers and finding new ones looking at how they have acted on different deals. So that's a little bit color on both the competitive side and the segment side. I hope that gives some color, Fredrik, to the situation.
Jean-Marc Harion: Let me add one comment on what Stefan commented. It's important to remind us that in 2025, we've been through a very deep transformation of our B2B business because the observation we made at beginning of last year was that not all the segments for B2B were, I would say, delivering the same profitability. So thanks to the transformation driven by Stefan, the prioritization of our portfolio, the focus on future-proof technology, a lot of automation in the process. We are now comfortable to grow all the segments, of course, with the preference for the core business but not only the solutions as well. And that gives us the flexibility to push some segments depending on the evolution of the market. So this is super important. We now have, I would say, a fully profitable activity on the B2B side, and we can accelerate the revenue when we see the opportunity in every segment.
Operator: We will now take the next question from the line of Erik Lindholm-Rojestal from SEB.
Erik Lindholm-Rojestal: Two questions from me, if I may. So I just wanted to follow up on the Baltic Tower Co transaction. You've spoken about this already, but sort of when you are seeing the completion of this and given what you said about leverage, could this be a trigger for announcing further dividends? And then the second question, just on Sweden B2B. I mean, IoT was really strong. Anything to call out there in terms of the drivers to this strength? And also solutions looked really solid, and you said there were completion of some projects. But do you see this strength continuing ahead?
Jean-Marc Harion: Peter, on the Tower Co.
Peter Landgren: Thanks for the questions, Erik. I don't think you should expect more dividends just because of the closure of this transaction. What we announced today is what we announced today, and let's see what will be concluded by the Board going forward, but not -- no explicit expectations just because of that. It's -- as we have discussed, we will see a sizable decline in our leverage by the transaction. But at the same time, the commitment in the Tower agreement in the 20 years agreement will lead to that the acceptance for high leverage is declining, is also going down accordingly. So that's what I would say at this point.
Jean-Marc Harion: And we expect to close the transaction in Q1. On the B2B, IoT?
Stefan Trampus: Yes. Thanks, Erik, for the question on both the IoT and the solutions part. Jean-Marc was alluding to it a little bit in his speech in the beginning that we have a healthy growth mix from all parts, I would say, of the business. It's driven both by mobile, cloud PBX, networking solutions. In the networking solutions area, the growth is coming from managed services and service agreements, both from new and existing customers. And then we also have the IoT part. And the solutions business is very much driven by customers needing to do network and cloud modernization. And I think that will continue. At what pace? I mean, it differs a little bit about how our customers can make investments in different areas. But for sure, it will continue. It can go up and down between quarters, and we talked about that before that we can have large rollouts for some quarters and then we have a buildup of revenues, et cetera. So that can differ over quarters. On the IoT side, we have a bit of an elevated increase this quarter, as Jean-Marc was alluding to, with SEK 15 million due to some larger projects. Let's see how the customer demand is there for specific projects. So that's something we are continuously in discussions with our customers. But in general, the IoT growth, we expect that to continue. The underlying growth in that business is really good. And let's not forget that, I mean, excluding this SEK 15 million, I mean, we are on a high level, actually picking up a little bit from Q3 to 5.4% growth, excluding this, what we would call project rollouts then or one-off revenues. So overall, a solid quarter in regards to the growth and looking forward to 2026. But I wouldn't say that you should take Q4 as the base for the growth going forward. As I said, it's a bit -- it can swing between quarters. I think the profile that we had looking forward, more looking like 2025 in full year, so to say, that's what we look at.
Operator: We will now take the next question from the line of Nick Lyall from Berenberg.
Nicholas Lyall: Can I just come back to the growth point, please, on service revenues in particular. I mean you've just done 3.7% in Q4 for the group or 2.6% in Sweden...
Jean-Marc Harion: Nick, can you speak louder because we are struggling a little bit to hear you.
Nicholas Lyall: Sorry, can you hear me better now?
Jean-Marc Harion: Yes, a little bit better.
Nicholas Lyall: A bit better. You've just done low single digit -- so you said low single-digit revenue guidance or service revenue guidance for '26, but you've done 3.7% in Q4 and especially with the Boxer effect and the accounting effects falling away, why not more aggressive into 2026, please? And I do realize you've talked a little bit about conservatism and macro. But could you give us more guidance why particularly after the comments you've just made on consumer where you've talked about boosting the value of the subs base. Why is that not coming through more aggressively in 2026, please?
Jean-Marc Harion: Peter?
Peter Landgren: Yes. Thanks for the question, Nick. I would say first on maybe building on what Stefan said about Q4 and full year. We are, of course, very happy with the sequential improvement in Q4, but I think we should be -- avoid to be too carried away of taking that as a single data point for looking at the full year 2026. We had some -- we benefited from some tailwind from one-offs in both B2B and B2C. Going forward then, as Stefan said, we're positive about the B2B development, albeit not at the level as in Q4. On the B2C side, you're perfectly right that we don't have the Boxer headwind. Boxer will obviously continue to be presumably a decline, but not at the elevated levels as we saw in 2025. And we're positive to our core services, but still coming back to what we said in the beginning, a bit humble around the development around us and how things will progress going forward. And then I think we should also keep in mind that we have support from a fantastic growth in the Baltics. We, of course, expect Baltics to continue to grow, but you might not be able to expect such a growth the Baltics going forward. So we expect support from all 3 business lines, but altogether, we find this a good guidance for now.
Jean-Marc Harion: Yes. I believe that a general note about our 2026 guidance is, as we stated in -- earlier in the presentation is that we are not starting from the same starting point. So we have raised the bar, and we will continue, of course, developing, but from a higher starting point.
Operator: We will now take the next question from the line of Felix Henriksson from Nordea.
Felix Henriksson: I wanted to revisit your thoughts regarding M&A in light of your new updated financial policy. Do you see sort of any opportunities for M&A, for example, in the fixed business in Sweden or somewhere else? Or should we sort of conclude that the use for excess cash will be basically to distribute that back to the shareholders?
Jean-Marc Harion: I will take this one. Of course, we are scanning the market, and we'll continue doing so. It's part of our role and part of the mission that the Board of Directors is asking us to do. For the time being, there is no deal on the table, and I believe that one of the reason for that, especially considering what the sector that you are referring to, the fixed business is that we are waiting for the regulation of the single dwelling units, which should materialize this year before observing the consequences on the new landscape. But on a general note, we continue scanning for the opportunities. But so far, we don't have any project on the table.
Operator: We will now take the next question from the line of Ulrich Rathe from Bernstein.
Ulrich Rathe: I have 2 questions, please. The first one is on working capital. That was a major contributor in 2005 to -- 2025 to free cash flow. So I was wondering how much further you can drive that? Working capital is at some point, structurally listed in terms of what it can provide, but we're not quite sure from the outside how much further you can drive your optimization efforts. Second question is on the terms of the Tower Co. I mean so far, we know cash impact on you, the general structure of the deal with Manulife and then also the EBITDA impact, but we don't know much about what the structure of the underlying agreements are. Now you're highlighting here that the agencies are taking a view. Presumably, they know a little bit more about it, but their focus is on creditor protection, which is not necessarily aligned with what equity investors are considering when they look at such deals and what they do to the value creation. So I was just wondering what further color you can provide on what this Tower Co will do to the Tele2 case? In particular, 2 aspects here would be the EBITDA impact in further outer years. The second one is how we are supposed to value your 50% stake in this Tower Co, if we don't really know what you've agreed there in terms of terms?
Jean-Marc Harion: Peter, you can...
Peter Landgren: Yes, I can start with the working capital...
Jean-Marc Harion: Yes. And continue with Baltic Tower Co.
Peter Landgren: Yes. On working capital, first of all, of course, we're very pleased with the contribution of close to SEK 300 million in 2025 based on a continuous work and persistency on optimizing the asset side and the main driver is then optimized inventories. That can obviously not -- as you point out, not continue forever. It will continue to be top of our agenda to make sure it's as optimized as possible in 2026. But we also know that, for instance, we have some severance provisions that we need to settle, and we're also dependent a bit on the commercial activities and what will happen around both Hans funding and other things around the business. So exactly where it will land going forward is unclear, but I don't think you should expect it to be repeated again as this swings back and forth. We continue to work on it, but 2025 was an extraordinary good year. So that's on that. On the Tower Co, the information we provide right now is the things we have called out, the annual EBITDAaL impact of negative EUR 35 million and that's what you should expect in the near term. Then of course, we -- it will evolve, and we will learn more, but that's what you should expect for now and also the upfront cash proceeds and the size in terms of number of towers and rooftops has been called out. And also there is a 20 years agreement around those towers. That's what we call out now. Obviously, in the financial reports going forward, we will own 50% of this company and the contribution from that will, of course, be, to some extent, disclosed in our numbers because it's part of our consolidation in the end, even though not consolidated in our EBITDA numbers, but as a separate line, so you will get visibility there. Otherwise, more strategically, we're doing -- as a reminder, we do this to be the first pan-Baltic Tower company and build a strong company there. And of course, we have, as shareholders, expectations of creating a successful business there as well. But at this point, this is what we call out, and it will, of course, evolve during 2026.
Operator: We will now take the next question from the line Siyi He from Citi.
Siyi He: I just have a follow-up question on the broadband -- consumer broadband trend. It seems that the broadband has stable for this year. I'm just wondering what are the reasons behind the flattish broadband trends, whether you see some pressure in your cable base, or you have chosen not to expanding into the fiber areas because of the pending change of regulations. And if I can also follow up on the change of regulations, just get your view on what could be the potential changes? And maybe your view on how to benefit from the improvement in regulations, either you think it's fine to benefit through organic growth? Or you think the buying infrastructure assets could be a better option?
Jean-Marc Harion: Okay. Well, I will take this one first, and Nicholas will complete, if necessary. But basically, on the broadband, we already commented on that in previous exercises. We see -- we have, of course, to deal with the complexity of the market for the fiber part. So the open fiber networks in Sweden are owned by a variety of different owner and operators, a lot of them being local ones. And what we see is that not only there is an intense competition on these networks, but sometimes, the retail prices are capped by the landlord for instance, and there is a permanent increase of the wholesale prices that squeezes the operator. So this situation is probably not sustainable on the long run. And of course, for the time being, it's a situation that we see in the buildings, mostly because we are waiting for the regulation that will give us access to the single dwelling units, the villas that represents half of the households in habitation in Sweden. Saying that in the waiting for the -- for this regulation, as Nicholas has commented, we are emphasizing the benefits of our DOCSIS infrastructure that we have partly upgraded to Remote PHY in the areas where we were suffering from congestion. And now we are reshuffling the spectrum, and we have started offering up to 2.5 gigabit per second Internet, which is a performance, of course, that is very rarely matched by fiber in Sweden, and we see that as a competitive advantage. So we are capitalizing on our footprint. And of course, we will wait for the new regulation to materialize before taking new positions on the fiber. But for the time being, the situation of the fiber in Sweden is not optimal. Nicholas, do you want -- no?
Nicholas Hogberg: No, no further questions or comments.
Operator: We will now take the last question from the line of Abhilash Mohapatra from BNP Paribas.
Abhilash Mohapatra: I've got 2, please, mostly clarifications. Firstly, on the dividend. You mentioned that the SEK 10.50 is not a flow, but at the same time, the policy does not stop you from paying more than 100% of the equity free cash flow. My question is, what exactly will determine where you end up on the payout on a year-to-year basis? How do you think about it given your strong cost cutting will probably keep growing free cash flow? So how do you decide on the dividend payout on an annual basis? And just related to that, is there a sort of numeric leverage range, which is linked to your investment-grade target? Is there a number that we can think about? And sorry, just one other clarification. Earlier in the prepared remarks, did you mention a cash tax number for 2026 of SEK 1.4 billion? Sorry, if I misheard but just if you could clarify.
Peter Landgren: Okay. On the dividend, first of all, just stating the obvious that it's, of course, in the end up to the Board, what they will propose and ultimately, the AGM. What sets the limits for next -- for the future? First of all, this financial policy gives a framework where to land. And that's the framework we need to live with and play based on that or will do so. The fundamental thing for future dividend is the cash generation again. But then exactly how a large portion of the cash generation that will be distributed. That's nothing that we can comment on now, obviously, but we commit in the policies is that it's at least 80% of the equity free cash flow generated that will be distributed. That's the floor we talk about. When it comes to the -- if I understand your leverage question, and then I'm repeating that answer and hopefully it covers your question is that based on the context right now, that might, of course, evolve. But as we see right now, after the Tower transaction, we believe that with the ceiling for BBB is around 2.6 or 2.7 in terms of leverage. But again, it's based on the context and there are also other metrics, but that's what we expect. And yes, on tax payments for 2026, we, at this stage, early in the year, expect SEK 1.4 billion of payments.
Operator: Thank you. There are no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.